Ian Brown: Good morning and thank you for joining us. With me this morning are Aubrey Adams, the Chairman of Tritax Big Box; and Colin Godfrey and Frankie Whitehead, the CEO and CFO. We are very pleased to be announcing our results for the full year ended 31st of December 2024. As always this presentation is being recorded and a replay and transcript will be made available on our website shortly afterwards. There will also be an opportunity for investors and analyst to ask questions to team at the end of the presentation. [Operator Instructions] I'll now hand you over to Aubrey to begin this morning's presentation.
Aubrey Adams: Good morning and thank you for joining us today. As we outlined in our announcement this morning, 2024 was a transformational year for Tritax Big Box. We delivered significant strategic progress and in parallel excellent operational and financial performance. As Colin and Frankie will outline in more detail, the integration of the assets we acquired through UKCM has proceeded well and we're working quickly to capture the value it creates. Operationally development and active management have driven strong earnings growth, supporting attractive dividend progression and there is much more to come that is embodied within our business. In addition to logistics we now have a pipeline of data center opportunities thanks to the manager's Power First approach with the potential to deliver exceptional returns for our shareholders. As a Board we have been very engaged with the manager in evaluating these opportunities over the course of the year. I'd like to take this opportunity to thank my fellow directors for their valuable contribution and the members of the management for their hard work and entrepreneurial drive throughout the year. I'd also like to thank our shareholders for their ongoing support. I will now hand over to Colin for today's presentation.
Colin Godfrey: Thank you, Aubrey. I'll begin by making a few key points on today's results and then I'll hand you over to Frankie to run you through the detail, after which I'll then provide a strategic update on our progress before opening up to your questions. As Aubrey mentioned in his introduction, we've driven excellent financial and operational performance this year. And at the same time we've delivered a significant strategic transformation. We've increased rental income, actively managed our quality portfolio to produce strong levels of ERV growth, creating a record rental reversion and delivered materially improved total returns. In parallel, we've successfully integrated the UKCM assets and are making great progress at maximizing their value. Our disposal program particularly the non-strategic element of UKCM is ahead of schedule. So we've delivered against the targets we set. And we have also launched our innovative Power First approach to data centers. Benefiting from the long-term structural support to our market and a strong and flexible balance sheet, we're very well-placed to propel growth through three clear and powerful drivers; capturing our record rental reversion, continuing to develop out our attractive logistics pipeline, and delivering exceptional returns through our Power First data center opportunities. Taking this together we're excited about the future and very well-positioned to continue driving multiyear growth as we capture the inherent opportunities to increase income across the business. More on this later, but first, I'll hand over to Frankie to run through our performance in more detail. Frankie?
Frankie Whitehead: Thank you, Colin and good morning. As Colin said, 2024 was a busy year for Tritax Big Box, the most significant event being the acquisition of UKCM's, £1.2 billion portfolio last May. Our active approach to managing the portfolio has delivered another strong year in terms of both financial and operational performance. And we have very attractive options moving forward with regards to how we allocate our capital to continue to drive growth. Turning to the key financial highlights for the year, which demonstrate how the implementation of our strategy continues to deliver very attractive performance for our shareholders. Our headline adjusted EPS is 8.91p and adjusted EPS excluding the additional DMA income is 8.5p. These earnings measures having risen by 15% and just under 4% respectively. We have declared dividends equaling 7.66p per share, a 4.9% increase over the year. And with income growth driving capital performance, we reported good growth in our EPRA NTA, increasing by 4.7% to 185.6p per share. This performance comes together to deliver our strongest total accounting return since 2021. I will be setting out the component parts of our 9% accounting return through the presentation. Turning to look at income and earnings in more detail. The addition of the UKCM portfolio has contributed to the majority of the increase in net rental income which has grown to over £ 275 million this year. In line with our previous guidance, £23 million of DMA income has been recognized for the period. And as I noted on the previous slide, you can see the good levels of growth reported in our adjusted earnings measures again here by increasing our dividend by 4.9% to 7.6p, this translates into a payout ratio of 95% for the year. And as the right-hand chart shows, there is plenty of future income growth embedded within the business. The contracted rents are cured within our development pipeline along with the portfolio rental reversion, means that our current portfolio ERVs sit a combined 33% ahead of today's passing rent. This provides us with great near-term visibility over the future growth in net rental income and we'll be coming back to this later in the presentation. And looking at our operational cost base on the bottom right, when excluding vacancy costs, the benefits of further scale, along with the synergies from the UKCM transaction, demonstrate an improvement in our EPRA cost ratio, reducing to 12.6% from 13.1%. We continue to maintain one of the lowest EPRA cost ratios in the sector. Now, turning to our balance sheet which remains in great shape and which also illustrates that we have been able to deploy capital into some really attractive opportunities this year. In terms of key metrics, on the top left, our overall portfolio value has grown to over £6.5 billion. Looking at investment made during the year, we have delivered the midpoint of our guidance with £222 million deployed into development CapEx. We've purchased one standing asset for £48 million and of course, added £1.2 billion through the acquisition of UKCM. All of this investment will be accretive to earnings over the short-term. And as you see on the bottom right, we have also successfully sold or exchanged to sell £30 million of investment assets at premium to book values, which includes nearly 40% of the UKCM non-strategic assets. A few points on the timing of these disposals. You can see that £140 million had completed by our year-end. The balancing £166 million are scheduled to complete in Q1 2025 and therefore formed part of our balance sheet at the year-end. And Colin will cover certain aspects of these disposals later on in the presentation. Looking back on the left, our loan-to-value has fallen to 28.8% with the reduction due to the lower leverage of the UKCM balance sheet at take-on plus some appreciation to our asset values through 2024. And it's that valuation growth which is behind the positive movement in net asset value. As I noted earlier, this has increased by 4.7% to £0.1856 per share. And now let's take a look in more detail at what makes up our 9% total accounting return. Here you can see the return to valuation growth during 2024 and the components of that 9%. First on the left, with investment yields broadly flat year-on-year it's been income growth which has been the driving force behind our performance. As the chart highlights, we are back into positive territory when it comes to valuation growth. A £244 million gain has been recognized across the portfolio following the inflection point we saw in values through early 2023. We have experienced another strong year of ERV growth of 5.4%. And our asset managers have been extremely busy moving rents on and enhancing our real estate. And we still have significant reversion to capture with ERVs nearly 28% above our current contracted rents. Total portfolio growth was therefore 3.7% over the year, of which the net gain booked on the acquisition of UKCM represents just under 1%. On the right-hand side and in terms of the constituent parts of our total accounting return, our earnings yield is attractive at nearly 5%. The capitalized income and ERV growth has contributed 2.8% across our investment portfolio. And our development gains have added a further 1.3%. Therefore all parts of our strategy have contributed to our accounting return for the year. And it's worth noting that this is prior to any returns coming from our data center strategy or any potential yield compression, both of which would be additive to our future total returns. Turning to the strong operational performance, we have delivered in the year and we start with our asset management activity. £11.9 million has been added in new headline rent from rent reviews and lease events where we have increased passing rent on average by 12.5% across these leases. Our strongest performance came from open market rent reviews where we have delivered an average 34.6% increase over the previous passing rent. This has led to an increase in our EPRA like-for-like rental growth, to 3.9% year-on-year. And the right-hand side provides some color on, our movement in vacancy levels. We opened the year with a 2.5% vacancy rate. Given the nature of the UKCM portfolio, upon acquiring this added a further 1.2% of vacancy. We have since made good progress with the letting of this space, and therefore our closing vacancy across the underlying portfolio sits at 3.3%. We also completed three development assets in late-November and December last year, which added 2.4% to overall vacancy as at the year-end. With positive conversations ongoing across all three units, it does provide us with an immediate opportunity to capture the £9 million of rent attached to the letting of these brand-new best-in-class assets. Looking forward with a combination of a more active smaller asset portfolio, and an ongoing level of selective speculative development, we expect vacancy to run at a rate in the low-to-mid-single digits. Turning to development where we've had another strong year and delivered in line with our guidance with over £11 million of rent contracted in the period, at an attractive yield on cost. Across all of our development KPIs, we have seen an improvement on 2023 including, 1.9 million square feet of development starts, 79% of which has been either pre-let or pre-sold under a DMA contract, one million square feet of lettings which has secured £11.1 million of contracted rent. This letting activity will deliver a yield on cost to us of 7.1%. And we continue to fill the hopper with further land ready for development, following a further 1.2 million square feet of planning consent secured. And as I touched on earlier, we have recognized £23 million of DMA income in the year. We have also contractually agreed a further freehold sale and DMA contract, over 0.3 million square foot units, which we will start in Q1 2025. We therefore expect to recognize £10 million of DMA income in the current financial year. And so to conclude on our operating performance, we continue to drive our top line rental income growth, through good progress across both our active management and development program and turning now to ESG, which is fully integrated across our business, and helps to enhance our long-term performance. At a corporate level our EPCs have improved. We now have 98% of the portfolio rated EPC C or above. Across the UKCM assets there is a real opportunity for us to enhance the credentials of this portfolio. And we have made a great start with this during our first 7.5 months of ownership. On our development portfolio, we've reduced the average embodied carbon intensity of our developments, to 287 kilograms of CO2 per square meter, which is a 20% reduction on average across our new developments year-on-year. And in May 2024, we unveiled our five-year strategy to positively impact 250,000 young people by providing platforms for education and opportunity. It's really important that we connect with the communities within, which we work. And this year we've impacted over 23,000 young people and we are excited to be working with school readers, the King's Trust and education and employers to help us deliver upon this strategy. Turning now to our balance sheet, which remains strong, provides us with financial flexibility and insulates us from some of the volatility we've seen in the capital markets. Let's start top left where our debt maturity profile is well-diversified by both source and by maturity. Noting that we have options to extend two of our loan facilities currently maturing in 2026 and 2029 as highlighted. And moving along the bottom. Our loan to value has fallen to 28.8%. Our available liquidity remains in excess of £550 million. Our average cost of debt remained attractive at 3.1%, of which 93% of drawn amounts are either fixed or hedged. And Moody's upgraded our credit rating outlook to positive in the period. And so we now stand at Baa1 positive rating. We also have solid net debt to EBITDA and interest cover ratios at 7.3 times and 4.4 times, respectively. And finally we've shown in the right-hand chart that our reversion capture over time shown here in blue will far exceed the likely increase in finance costs as we refinance our facilities shown here in gold. This provides confidence in our ability to continue to grow the company's earnings attractively as we gradually refinance our maturing debt facilities. I've illustrated here the very attractive options we have to deploy capital. As you know our logistics pipeline offers an attractive 6% to 8% yield on cost from new developments. In fact for 2025 development starts, we are targeting a delivery within the 7% to 8% range. And now complementary to this is our data centers where at Manor Farm we are targeting a yield on cost of 9.3%. We will be looking to deliver data centers on a powered shell basis, which we believe offers shareholders the most attractive risk return combination. Looking ahead and to provide some guidance on the right around capital allocation. Similar to 2024, we expect to deploy between £200 million to £250 million into logistics development. As set out within our Manor Farm announcement, we expect to deploy up to £100 million into data center development this year. And we will continue to be opportunistic when it comes to investment purchases should the forward-looking returns meet our desired hurdle rates. And finally on disposals. As I outlined earlier, given the fact that we have already sold £166 million of assets in 2025 and taking into account we would expect to exit a large part of the remaining non-strategic assets this year, we guide to between £350 million to £450 million of asset sales this year. We're taking out at initial yields of between 5% and 7%. And now some final thoughts from me before handing you back to Colin. We have delivered another strong set of financial results and operational performance for 2024. We have lots of embedded value within the business across our development pipeline and the 28% rental reversion across our portfolio. This underpins the confidence we have in delivering attractive earnings growth over the medium term. Our continued financial discipline means our balance sheet remains in a great position with lots of attractive optionality to redeploy our capital. And stepping back, given the opportunities we have within the business, we expect to deliver strong total returns for shareholders over the short, medium and long term. Taking all of this into account, we are optimally positioned for the future. Now back to Colin.
Colin Godfrey: Thank you, Frankie. The strong financial and operational performance that Frankie talked through has been delivered by the talented team at Tritax management, enabling Tritax Big Box to develop and deliver its strategy. Tritax management has deep sector knowledge, all of the necessary in-house capabilities to deliver success and prides itself on having an agile and entrepreneurial culture. This underpins the strong operating performance and has delivered attractive new opportunities such as our U.K. leading development platform and Power First data centers. A direct and hands-on approach allows us to undertake all asset management activity directly, which crucially enables us to build close relationships with clients. Investment in this team has resulted in the headcount growing by over 70% since 2019, and we have improved the already high levels of engagement from our employee satisfaction survey. And all the while, these quality services have been delivered cost effectively to Tritax Big Box, with one of the lowest EPRA cost ratios for a fully integrated investor developer and with the declining effective fee now at 58 basis points, of which 25% is reinvested in Tritax Big Box shares. This reinvestment has been complemented by additional share purchases by the manager since IPO. So the unique characteristics of the management team alongside the Board has been key to the strong operational performance and strategic transformation and positions us well to deliver continued success for shareholders. Turning now to our market, which continues to provide a favorable backdrop to operations. Starting with demand on the left chart. In the UK, we saw 21.3 million square feet of take-up from a diverse range of occupiers in 2024, consistent with 2023 levels. Whilst macroeconomic and global geopolitical uncertainty has caused some businesses to delay long-term commitments, leading companies continue to invest in the evolution of their logistics networks. And market demand remained healthy at the start of 2025 with 11.5 million square feet under offer. And for our development portfolio, we continue to see high levels of engagement. Turning to supply. The gold bars show that UK development completions reduced to 14.7 million square feet, down from 30.3 million square feet in 2023. And national vacancy was 5.6% at the year-end, flat across the second half. These dynamics resulted in MSCI recording 5.3% ERV growth for distribution warehouses in 2024, marginally below our own portfolio ERV growth of 5.4%. Looking forward, supply is stable and occupational demand remains healthy with the potential to increase. And from this, we expect further attractive levels of rental growth. Turning to the right-hand side chart and Capital Markets, investment activity increased through 2024 with competitive bidding on the best opportunities. And the prime headline yield for UK logistics assets remain stable at 5.25% with the expectation for reducing interest rates providing opportunity for yield-induced value growth this year. I'll return to explain our data center activity later but you will not be surprised to hear me say that the market environment is very positive. The left chart shows how an increasingly digital world is creating the need to store and process exponential volumes of data. AI is just one important component of this. Turning to the right chart, demand is very high but take-up in London has been significantly constrained, primarily due to very low levels of near-term power availability and the sheer cost of building a fully fitted data center. UK rental rates have moved higher in 2024 and we expect to see further growth in 2025 and beyond with demand from hyperscalers leading the way. So our markets are in really good shape. And here on the left a quick reminder of how our strategy is designed to capture the opportunities in our markets providing a combination of resilient income and attractive growth. Our high-quality assets in critical locations deliver rental income from a diverse range of superb clients and sustainability-led hands on active management is supporting the objectives of our clients whilst adding value for our shareholders. All the while, we remain disciplined when it comes to capital allocation effectively rotating capital to fund higher returning opportunities through the development of new best-in-class logistics and Power First data center assets. It is now strategic choices that have embedded three clear growth drivers within our business as shown on the right, capturing record rental reversion from our investment portfolio, rolling out our attractive logistics development pipeline and developing high-returning Power First opportunities in data centers. Let's now look at these three growth drivers in turn. The first driver is growing our rental income through rental reversion capture and active management. As Frankie mentioned, our active approach to asset management has delivered excellent results in 2024. Outlined on the right are some of the highlights that we've achieved across both the Big Box and UKCM portfolios with significant uplifts in rent in some instances setting new record levels for their locations. As shown on top left, we ended the year with the logistics rental reversion at a record 28% or £79 million. We expect to capture nearly 80% of this within the next three years as shown on bottom left. And this gives us the scope and confidence to continue growing our rental income. One of our biggest strategic achievements in 2024 was the acquisition of UKCM. As we outlined at the time, UKCM complements our existing portfolio by adding a range of high-quality and predominantly urban logistics assets. It increases our range of small units and our exposure to open market rent reviews. We've rapidly integrated these assets into the business and are already realizing some of the significant opportunities that we see within the UKCM portfolio. At the time of acquiring UKCM, we stated our objective of selling £475 million of non-strategic assets that we inherited as part of the transaction. And I'm pleased to say that we're making excellent progress as shown top left having now exchanged or completed on £181 million of disposals so we're on track against the two-year disposal period guidance that we provided. This means the UKCM non-strategic assets now comprised only 5% of our gap. Critically we've sold these non-strategic assets ahead of their market value at the time of acquisition reflecting a 2.8% premium and implying a 6.2% net initial yield. And we have a further £177 million of UKCM assets under offer. So together with the additional sales from our investment portfolio disposals for the last 14 months totaled over £306 million reflecting a 3.3% premium as shown on bottom left. And we're accretively rotating the proceeds from these disposals into higher returning opportunities as shown on the right here including our attractive development pipeline and acquiring the land at Heathrow together with 147 megawatts of near-term power for our first data center opportunity. The second growth driver in our business is our attractive logistics development pipeline. As you can see on the left this has the capability to deliver over £323 million of additional rental income more than doubling our current passing rent. As a reminder most of our land platform is held capital efficiently under long-dated options. Embedded within the options is a hard-coded discount of between 15% and 20% against prevailing land values. And we also deduct infrastructure costs required to make the land development ready. This ensures that we lock in an attractive entry price whilst not carrying fluctuations in land values on our balance sheet. It also secures an attractive development margin. Over the long-term, we're targeting a 6% to 8% yield on cost. And as Frankie noted, we expect to be at the top end of that range for our 2025 development starts. Kettering is a great example of the excellent progress we've made. Here we secured one of the largest pre-lets in 2024 to a world-leading e-commerce business. And this now completes the scheme following a major letting to Iron Mountain and a freehold presale to Greggs. The third growth driver in our business is the development of data centers. These have the potential to deliver exceptional returns given accelerating occupier demand and acute constraints on new supply. Delivery of power in the near to medium term in core locations is critical to capturing significant lettings with major data center operators. In some of the core locations within the U.K., the waiting time for power delivery is over 10 years. So, we have adopted an innovative Power-First approach a crucial differentiator that gives us an advantage. This Power-First approach enables us to deliver data centers faster securing higher returns in the near term by developing Powered shells on a pre-let basis only delivering a very attractive target yield on cost of between 8% and 10%. And the opportunity that we have is significant with a first right of refusal over a potential one gigawatt pipeline of critical grid connections for further data center development. The first such site is at Manor Farm Heathrow, which demonstrates both the scale of the opportunity but also the speed at which we can capture it. At 147 megawatts, Manor Farm Heathrow has the potential to be one of the largest and most important data center developments in the U.K. Uniquely, Phase 1 can be delivered within a vastly accelerated time frame subject to planning. It's in a prime location within the key Slough availability zone and adjacent to critical fiber infrastructure. We're targeting an attractive yield on cost of 9.3% net of all costs including deferred land consideration and performance fees for a powered shell and pre-let development. Utilizing pre-existing grid connections secured via our JV partner Phase 1 of Manor Farm could be completed and income producing as early as the second half of 2027. Bringing all of this together, the sum of our three growth drivers give us the opportunity to grow our current £297 million of rental income to potentially more than £730 million. Critically, as shown on the left side of the chart, we have visibility on an incremental £56 million in the nearer term being the combination of rental reversion vacancy and our current development pipelines. And in the medium-term, we have the potential to add a further £117 million. And here we are only factoring a small component of the potential data center opportunity. So over the short and medium-term, there is opportunity to grow our income by almost 60%. And these numbers don't factor any future rental growth, the full extent of our data center pipeline or any of the other opportunities as set out at the bottom here. So there's further upside not presented on this slide. So to conclude, we've delivered excellent financial and operational performance in 2024 whilst also securing a significant strategic transformation for the company. This has strengthened our position as a leader in U.K. logistics and we look forward to the future with confidence. Our markets continue to exhibit attractive characteristics and compelling levels of rental growth. We have a strong balance sheet supporting execution of our strategy and we have three clear powerful and organic growth drivers. As a result of these factors, we're exceptionally well positioned to continue delivering multi-year income and value growth. Thank you for listening. Ian will now start the Q&A session. Ian?
A - Ian Brown: Good morning, everyone, and welcome to the live Q&A part of our presentation this morning. [Operator Instructions] And as normal, we'll begin with questions from the webcast before turning to the phones. We're also joined this morning by a couple of members of the Tritax team as well. So hopefully, we should be able to answer most of the questions that you have. Turning to the webcast. The first question we have relates to our development yield and asking what is driving the upward increase in your development yield on cost guidance?
Colin Godfrey: Thank you for the question. Good morning, everyone. Thanks for joining us. So I think probably the way to start the answer to that is just to remind you that we control the U.K.'s largest logistics-focused development platform. And we are maintaining our guidance of 2 million to 3 million square feet per annum. The longer-term guidance that we have given in the past is at 6% to 8% but that has been improving as a consequence of two component parts essentially. The first one is construction costs. And obviously, looking back a few years, we did see significant increase in construction costs, alongside inflation in the U.K. economy but that has moderated. We've seen some construction cost reductions in recent times. But right now. I would say that the construction costs are stable. So that's particularly encouraging for our future development. Against that, of course, rental growth was playing catch up and we have seen attractive levels of rental growth in the Big Box market in recent times. The combination of those two elements has given rise to an improvement in our yield on cost that we've been delivering on the ground and also, in terms of our expectations for future development. So we are now guiding to the upper end of that band. And so for 2025, we're guiding to sort of 7% to 8% and we're expecting to be at the upper end of that range.
Ian Brown: Next question from the webcast relates to any further guidance on the evolution of DMA income?
Frankie Whitehead: Should I take that? Good morning, everyone. So as part of the release this morning we've guided to 2025, DMA income being at around £10 million. Beyond that we revert to our longer-term guidance which sits in the £3 million to £5 million range. And of course, as we move through time and get greater visibility on what that may look like we will give further new guidance as and when we get to that point.
Ian Brown: Great. Next question from the webcast comes from Andrew Saunders at Castle Hill Capital. He asks can the team remind us why powered shells are the preferred REIT for data center developments when one of your competitors now believes the fully fitted option is increasingly what tenants want? And if we were to shift to this development model how might it be funded?
Colin Godfrey : Okay. Thank, Andrew. Look in the first instance, I would say that the powered shell -- I mean the first -- we haven't developed any data centers yet. So, obviously, Manor Farm is our first announced data center project which is ongoing. I think the key thing to note here is that we're pursuing powered shells because that is the route, which ensures that we're not taking operational or obsolescence risk in the construction of the building and nor are we going forward. We have a strong track record of producing high-quality large-scale logistics buildings, which we have produced for large international scale and sophisticated and demanding clients. And we've done that very successfully in the past. Powered shells are really an extension of that principle. And the world is fast moving. We've seen the DeepSeek announcement recently by way of example. We don't want to be taking tech risk in terms of what goes into those buildings. That's really for the operator and the specialists who operate in the data center market and not for us as real estate specialists. The last thing to say, I think is that we're delivering and we're targeting really attractive levels of return from operating a powered shell model. And I think that from the numbers that I've seen the figures that we're looking at from powered shell are very similar to the sort of returns that others are looking to target from an operational risk point of view. So we think we're in pretty great shape in terms of the powered shell philosophy.
Ian Brown: Quite a few questions on the phone lines. I think we'll sort of move over to that now. So I think Francois is helping us out on the call this morning. So Francois, if you could open up the line to questions from the phone please?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of John Vuong from Kempen. Please go ahead.
John Vuong: Hi. Good morning. Thanks for taking my questions. Just a follow-up on the yield on cost question. I think you mentioned that you were going to 7% to 8%. Looking at ERV growth of say 5%, that gets you to the midpoint of 7% to 8%, on this guidance range. And I think in the press release, you also mentioned that there's a mix of projects, impacting this yield on cost. So is it fair to assume that, there's another 20 to 30 basis points impact from this mix of projects? And what has exactly driven this? Is it a risk premium on the location? Or is it, the cost of land going into the project?
Colin Godfrey: Did you understand that?
Frankie Whitehead: So I think Colin, covered the key drivers to that, which is the rent and the construction cost. The nuances around location is, there are some units coming through in the current financial year, that are latter phases of schemes. And therefore, the infrastructure costs associated with those have already been borne effectively, largely through Phase 1 and perhaps Phase 2 of those schemes. So that's the nuances around that particular comment this morning.
Q – John Vuong: Okay. That's clear. And have you made any changes in your underwriting, in terms of pre-letting given that you are quite upbeat on occupier demand coming back to the market?
Colin Godfrey: No. I mean, I think we are we're monitoring the market, and being agile in relation to what's happening in the market. I mean, we do -- I think it's important to recognize that a pre-let can take up to two years to deliver. So we often quite have, quite significant line of sight, in terms of the conversations that we're undertaking with occupiers, understanding their requirements dealing with the specifications and negotiating the terms of those potential buildings. But it is important to recognize that, the market has been very focused on speculative supply. And the reason for that really is because the economic impact, that gave rise to occupiers being less confident about the future, meant that they sat on their hands quite a lot. They weren't making longer-term investment decisions. And when they've come to a point where they can't hang on any longer and they need to start making decisions on acquiring new logistics buildings. They're having to -- or desiring to do that quite quickly. They can't afford to wait three years for a fully operational building, by way of example, if it's going to be automated. And therefore, the Board of those businesses typically say, okay, what's available for us within the next 12 months. And the answer to that of course is, that it's a building either coming out of the ground or one that's already built. And so the market has become much shorter term in nature, which has been playing to the speculative piece of the jigsaw. The market has therefore, moved that way. And you've seen that in the data print and we've been following a similar path. But of course over time, as occupiers become more confident, with the backdrop of the macroeconomic position, we should start seeing pre-lets become an increasingly large part of the total take-up.
Q – John Vuong: Okay. That's clear. Thank you.
Colin Godfrey: Pleasure. Thanks.
Operator: The next question comes from the line of Callum Marley from Kolytics. Please go ahead.
Q – Callum Marley: Good morning, guys. Thanks for taking my presentation and my questions sorry – and congratulations on the strong results. Just a couple. I think you kind of commented on it just then, but it'd be good just to get the rationale for why you're increasing your speculative exposure to 3.4%, well above where it was in the half year and 2023? And then, I think you made a comment in the presentation about demand, being healthy and potentially picking up for the rest of the year. Just looking at the slide 18, obviously, where we're take-up is flat and potentially could fall for 2025. Are there any particular things or data points that you're looking at that's giving you the confidence that things will get better for this year? And I've got a second one to follow-up.
Colin Godfrey: Okay. I'll take those in turn. Thanks very much for the questions. So on the spec, yes, as an extension to what I already said. I mean, partly it's a timing point in relation to when we pull the trigger on starting new construction. And you should expect to see those buildings have an element of vacancy attached to them after they're completed. That's typically been the norm in the market in the past. But as I mentioned, if we're not producing speculative buildings then we're not going to be capturing that speculative demand. And that's a really important part of the market. And we want to be enjoying and capturing that element of if you like the shorter term demand. And turning to the demand question more generally that you posed, look I think what gives us confidence? I think there are several factors here. The first thing is that when we look at vacancy, vacancy stabilized in the second half it's 5.6%. Yes it has nudged up a little bit this year. We don't think it's going to go much higher. It could start moderating a little bit. Why do we think that? The first reason is that take up, i.e., the manifestation of demand through lettings has been essentially stable. We've had about 21 million square feet of take-up in 2023 and 2024 approximately. So we can see that demand is holding quite firm. That is an attractive level. It's in line with -- we're above in fact pre-pandemic levels. So we think that's a healthy level of demand looking forward particularly in the context of the macroeconomic challenges that we've seen recently. But key against that is the supply side. And we saw 30 million square feet of new construction starts in 2023, but that reduced by over 50% to under 15 million square feet in 2024. So we've got a stable demand situation and a substantially reduced supply side situation. Now in combination those two things should bode well for rental growth. And, obviously, the market rental growth last year we saw MSCI report, a 5.3% market rental growth just slightly below our own 5.4% as I mentioned in the presentation. So really healthy levels particularly when you think about the context of that against underlying inflation. CPI last year was 2.5%. So that's a really quite attractive arbitrage that we're benefiting from. And I think that with the context of that supply demand situation, we should be able to continue outstripping inflation in the near to medium-term in terms of rental growth.
Callum Marley: Yeah. That's clear. Thank you. And just the last one. You have quite a lot of stuff in the pipeline. Just wondered how you're thinking about potentially acquisitions from here? And then the new acquisition that you did in the year is that running yield of 7%. Can we think of that as kind of your new acquisition return hurdle going forward?
Colin Godfrey: Okay. So look, I think the first thing to say is that, this is a sort of portfolio composition and balance question. The -- we have obviously key component parts to our portfolio. We have really high-quality, modern logistics assets that underpin and give confidence to us in terms of that rental receipt. Remembering, we had 10 years of 100% rent collection, all of our customers having renewed their leases by way of example. So, we've got high-quality customers that are wedded and we typically will own the best or one of the best buildings in the operations of that customer or that client. So that is the cornerstone of our business. The market prime yield is 5.25%. Our equivalent yield is a little under 5.7%. So, when we think about the context of yield profiling, we then step up to our development activity. As we've said we're sort of 7% trending towards 8% right now that's an attractive arbitrage. And then above that, we've got our data center activity where we're targeting 8% to 10% for powered shells to incrementally higher. Now they're not mutually exclusive. We will be looking to be active in all of these component parts. Clearly, the marginal pound is attracted to data center activity, but we should expect to see some activity in all of those component parts to maximize total return in the context of timing and on a risk-adjusted basis. So that's the important part of getting the balance right there. But you will see us active in all those areas including in standing investments where we see opportunity to enhance the portfolio through rotation and buying off market at attractive pricing points then you will see further activity from us, but it will be it will be subject to opportunity.
Callum Marley: That’s very clear. Thank you.
Operator: [Operator Instructions] The following question comes from the line of Paul May from Barclays. Please go ahead.
Paul May: Hey guys. Just a quick couple for me. Do you have an estimate -- do you have an estimate of the total cost of the development pipeline on the data centers as you roll that out? And because it could be quite substantial and obviously an essential part of your business and how do you plan to fund that? And I appreciate it's going to be able to say a 10-year time frame. It would be good to get some context. And then second one, I think you previously mentioned I think it was in the last full year results quite a clear thought that you expected further acquisition opportunities to emerge. And I appreciate for bringing some of the previous questions, probably one of the first times we've seen two years of declining take-up, but increasing investment volume. And that strikes me as some players are probably not seeing underlying marketing quite the right way and maybe getting a bit ahead of themselves and maybe that could mean that there's further opportunities unless that demand does really kick off. I just wanted your thoughts there.
Colin Godfrey: Okay. So on the -- we'll perhaps with a bit of a tag team here, Frankie. So on the cost of the DCs, we've not given any specific guidance, Paul. I mean we're still appraising the detail of Manor Farm and it is subject to planning. But I think it's fair to say that the Manor Farm, and it is subject to planning. But I think it's fair to say that the Manor Farm project will be several hundred millions of pounds. But as you will have seen in our recent activity in what has been not the best market in terms of investment activity in recent times, we very, very successfully disposed of a significant amount of assets, over £300 million of assets. at premium to the last valuation level. And I think that proves the quality and liquidity of our assets. And of course, that rotation of capital into our development pipeline and now also into data centers, I think, gives us a strong foundation for funding that. But perhaps at that point, I can hand over to Frankie to talk through the funding positioning in a bit more detail.
Frankie Whitehead: Yeah. So for Manor Farm Phase 1, just to recap on some of the numbers there, total CapEx is around £360 million, broadly over a three-year time horizon. And as indicated at the time of the announcement, we expect to fund that through existing balance sheet resources and capital recycling. As Colin said, we're still appraising the cost of the longer-term pipeline. Clearly, that's over a much longer duration. And I think it's right to say at the moment that we're also appraising the sources of funding against that. So we are appraising all manner of sources. Clearly, that will be a combination of continued capital rotation from the existing portfolio, continued use of balance sheet and then possible future equity or private capital to sit alongside that. But it is all subject to what that opportunity looks like and the total cost. And of course, ensuring that we pull the right levers at the right time to drive value for shareholders.
Colin Godfrey: Thanks Frankie. So Paul, just on your last question, I think I was just querying it with Ian, and I think I understand it now. So yes, look, there has been a steady improvement over the last five quarters in terms of investment activity increasing quarter-on-quarter. And I think you're right, there is more capital now looking to enter the market. And that's, I think, a sign of encouragement, probably backed off against the expectation for reduced interest rates, but also, I think, supported by the fundamentals in the market and the fact that the big box market in the UK is expected to continue to deliver attractive levels of rental growth. And whilst I think you're absolutely right, take-up was slightly down, but only very marginally. And as I mentioned earlier, essentially, what that is showing us is that demand is holding relatively firm. And as I said earlier, the supply side is reducing. And I think it's the combination of those two factors that's giving confidence to the investment market. The other thing that I think is giving confidence in the investment market is the in-built reversions in these assets. The market is typically looking at a reversion to sort of around about a 6% running yield within a 24-month time horizon, very crudely for high-quality assets. And I think another pointer I would sort of point you to is the Tritax Big Box and Savill survey future space that we recently announced in London a few months back, in fact, a few weeks back. One of the really interesting questions that was asked of the survey respondents was, do you expect to take more space within the next two years? And the answer, 40% of the respondents said, yes, they were. So I think that's another encouraging sign. And we in terms of our own conversations that we're having with clients they are telling us that they've been holding back that they do need to invest in their logistics pipeline that they're going to be investing in larger more modern high-quality facilities. And one has to think about the impact of the National Insurance change by way of example. And I think there's going to be more of a focus towards more modern sophisticated buildings that are capable of accommodating automation so these are some of the drivers that we're seeing in the market. And I think that's what's giving confidence to the investment marketplace right now.
Paul May: And just to follow-up if I can on that. I mean if that doesn't happen and if vacancy continues to tick up and demand continues to remain subdued relative to just given the UK economy is not particularly firing on all cylinders at the moment…
Colin Godfrey: Yes.
Paul May: Could you see that maybe that investment volume stutters and as a result creates more opportunity for acquisitions? Or do you just think that there's no chance that we get an impact on demand and that continues to improve and as rates come down? I just wonder what your thoughts are on that.
Colin Godfrey: Well look Paul it's a good question because I mean our job is to consider all of these eventualities of course. I think the first thing to say is vacancy -- in the long run vacancy is not at acute levels. It could well move a little bit higher. As I've said earlier it's kind of in line with longer-term pre-pandemic run rates. And when it was at this sort of level or slightly higher we continue to see attractive levels of rental growth. If we do see let's just say we see an uptick in the prime yield as opposed to a downward movement which I think would be unlikely unless we get an upward movement in interest rates in the near-term. It's all about relativity isn't it? At the moment we're seeing a significant margin above the underlying rate of inflation. That could be closed up. But as I mentioned I think that quite a lot of the market is looking for the in-built level of growth that's already manifest in these investments not necessarily looking at the longer-term prospects for rental growth in the market because they can see attractive running yields. I mean the other thing I think to mention here is that's really important in the context of commercial property sectorally is that logistics has very, very low levels of obsolescence and very low CapEx. So you're taking a running yield. You've got the potential for in-built growth in terms of the reversion. Yes, you might be able to add on some rental growth in the market. You've got asset management potential et cetera, et cetera. You can get to a very, very attractive total return from that. I think one of the things that the market is not really factoring in some of the other sectors is a very significant CapEx that can be required in offices retail et cetera, et cetera where you're buying off an initial yield only and not really thinking too far down the track in terms of the implications of that. So I think they are some of the factors that are giving rise to attract – the investors being attracted to the logistics space right now.
Paul May: Great. Thank you very much.
Colin Godfrey: Thank you, Paul.
Operator: The next question comes from the line of Marc Mozzi from Bank of America. Please go ahead.
Marc Mozzi: Thank you. Thank you very much. Can you hear me?
Colin Godfrey: We can Marc. Good morning.
Marc Mozzi: Yes. Good morning. Could you please give us a little bit color on your rental income bridge to 2025? Because if I'm trying to connect things with your Page 8, I'm a little bit confused. And can you just remind us what is effectively going to be subject to open market reviews and what is CPI linked? And I understand that you have potentially upgraded the cap on that side from 3%, 4% that would be my first question.
Frankie Whitehead: So I think we're talking about Page 27 with the income bridge Marc is that right?
Colin Godfrey: Marc, which page are you referring to on the slide deck?
Marc Mozzi: 21, sorry 21. 21 of your slide.
Frankie Whitehead: Apologies, apologies.
Marc Mozzi: Excuse me. No, no my apologies.
Frankie Whitehead: Okay. Sorry. And the question relating to – was it the top left graph or...
Marc Mozzi: No. The bottom left chart when you're showing 79% of rental reversion to be captured in three years. And if I understand well only part of your rent or your leases are effectively subject to open market reviews. Some others are linked to CPI or RPI side?
Frankie Whitehead: Yes. So Marc, let me try and speak to that. In addition to Page 21, there is disclosure in the appendices and the RNS around our rent reviews that are falling due over the course of the next three years. So just to remind you, broadly half the portfolio has linkage to open market rent reviews. And probably the other half is inflation-linked as you say where there are caps and collars. But walking you through the bridge. The assumptions that sit behind the 79% are effectively where we have open market rent reviews falling due within the respective years, we are marking those leases to market and we would expect to achieve that. Equally where we have lease expiries we are marking those leases to market. And again we would have the opportunity to truly mark those to market. And where we have inflation-linked reviews, we are looking at market consensus forecast on where inflation may get to over that time duration and building that into the cash flows here. So it's trying to give a realistic picture of – firstly it's the opportunity to capture and equally a realistic picture around the capturing of that reversion over that duration and then 2028 and beyond everything else sits further out. So effectively a good opportunity to capture a large part of that reversion over the next three years. Clearly that is a key driver to our top line net rental income growth and the drop-through into earnings growth.
Marc Mozzi: So if I understand you correctly, half of the 79% roughly will be captured effectively in your P&L.
Frankie Whitehead: No we are suggesting that the full 79% is available for capture. So subject to how we do on that and these are realistic assumptions that sit behind this. That is a profiling that we would expect to deliver on the way through.
Marc Mozzi: That's only for the open market rent.
Frankie Whitehead: That's the whole portfolio. So open market rents and inflation-linked reviews.
Marc Mozzi: Okay. Okay. I get it. And then, the second question is on your development CapEx. When your 2025 deliveries are to be live?
Frankie Whitehead: When are the 2025, delivery is expected to be live with that?
Marc Mozzi: Yeah. And same question for 2024, when they're going to be fully let, according to you in 2025?
Frankie Whitehead: I mean, maybe just to...
Marc Mozzi: You're targeting to...
Frankie Whitehead: Yeah. Just to speak to that then. So obviously we are commencing construction activity throughout the year. So typically the completion profile in any given year would be staggered during the course of the year. We have got some elements of vacancy within newly developed units. Typically we would be underwriting a 12-month void period, in association with those speculative developments. In terms of what's coming out of the ground at the moment we've got about two million square feet under construction, 70% of that has either been pre-let or pre-sold. So there is income sitting behind around 70% of what's under construction at the moment.
Marc Mozzi: And out of just 70% pre-let, is that going to mean more towards end of the year or 2025 or...
Frankie Whitehead: Yes. It's second half weighted. And we have got one building that will complete in first half of 2026.
Marc Mozzi: Brilliant. And just out of curiosity, why your dividend pressure is 7.66% and not 7.7% because historically you always have reported a rounded number to one decimal only? Just trying to understand why is that, because it's going to save you £1 million? So I'm trying to understand where this number comes from? Is it a payout ratio you apply? You look at the absolute number effectively?
Frankie Whitehead: Yeah. Combination thing, so it's a payout-ratio-driven feature. It's clearly a growth rate driven feature in terms of the growth rate applied to last year. But equally Marc, we made an expectation statement in our prospectus from April, May 2024. So that is in keeping with the expectation that we set nine months ago, at the 7.66% level.
Colin Godfrey: But it is in relation to the acquisition of UKCM so maturing the UKCM shareholders received the quite dividend.
Marc Mozzi: Okay. Fair enough. Thank you very much.
Colin Godfrey: Pleasure. Thank you, Marc.
Operator: And the last question in queue comes from the line of Rob Jones from BNP Paribas. Please go ahead.
Rob Jones: Thank you very much. Last but not least. Just a quick one back to I think it was Page 21 that Marc talked about earlier and back to that reversion capture chart. So, in my head I'm thinking about CapEx spend requirements as I say the next three years. We've obviously got Manor Farm 360, call it 400 to keep it rounded and three years of development spend on the logistics portfolio which it could be I don't know £600 million plus whatever it might be. So call it £1 billion over three years. And obviously you've talked around the plans or the kind of I guess Plan A is we'll obviously fund that through asset disposals. To what extent, are -- is the reversion capture over the next three years which as you said frankly is a key driver of top line growth going to need a bit of a haircut in my model to reflect assets sold over 2025 2026, 2027 that might have reversion in them that thus will not be captured because obviously, you sold the income to a third-party?
Colin Godfrey: Yes.
Rob Jones: Or should I price in a full £60-odd-million of reversion capture over the three? Or do you think realistically that's--?
Frankie Whitehead: No, I think it's a fair point. given the capital rotation that we're looking to undertake there will be elements of that reversion no doubt that sit within in that pool of assets. But I think speaking to your numbers there are £1 billion broadly over three years, we're indicating £350 million to £450 million of sales this year another £250 million to £250 million per annum thereafter, that's the sort of profiling of how we expect that to look. But you are right, it's subject to the assets that we're looking to sell and the reversion within those as to how much of that may not be available on the way through there. It's hard to give sort of any further guidance on that at this stage.
Colin Godfrey: Yes, I mean Rob if I can just jump in there. One of the things that we do and we have done very successfully in recent times is execute our asset management strategy. So, just by way of example, if we got a vacancy of a building at the end of the lease and we re-let that building on a new lease, we can potentially then sell that capture the profit that will be a rack-rented investment rather than a reversionary one. If we undertake some asset management, we do a lease regear, the same thing is true. And we would also look to potentially capture the uplift in rent at a rent review again and sell the investment off the back of the new higher rental tone. So not exclusively, obviously, but in most instances, we are looking to dispose of investments that do not have significant levels of reversion attached to them, because obviously for the very reason that you just mentioned. They're the ones that typically we want to hold unless we feel that there's undue risk attached to them. So I would say that, we're generally looking at holding reversionary investments and selling those that are back rented.
Frankie Whitehead: Rob, just one more point actually the UKCM non-strategic assets of which there's circa 330, 340 left to sell are broadly rack rented. So that is actually another key point to draw out there.
Rob Jones: Yes. Okay. And then the other final one from my side was more of a request rather than a question, which is Bloomberg consensus for yourself is okay, but not incredible in terms of its debt. And if you were able to going forward look at putting what you think latest consensus figures are for income including and executing BMA, APRNT, et cetera, on your website like Sebor, example that incredibly helpful.
Colin Godfrey: Rob, I think that's an excellent idea and we will definitely -- we have also -- we look at Bloomberg consensus and scratch my head at times. So I think it does make sense to me on the website.
Rob Jones: Thank you very much sharing that.
Ian Brown: Thank you very much, Rob.
Operator: This was the last question. Handing back over to you, Ian to conclude.
Ian Brown: Great. Thanks so much. Well, I'll pass over to Colin to end the proceedings.
Colin Godfrey: Thank you very much everyone for taking the time to join us this morning and listen to our annual results presentation for 2024. Thank you to our whole team as well for assisting in the process. I wish you a great day, and looking forward to catching up with you over the coming months. Thanks for your time. Bye-bye.